Operator: Good afternoon. My name is Ian and I will be your conference operator. At this time I would like to welcome everyone to the Third Quarter 2019 Earnings Conference Call.At this time all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to our host Cynthia Hiponia.
Cynthia Hiponia: Good afternoon. I am Cynthia Hiponia, Vice President of Investor Relations at Symantec and I am pleased to welcome you to our call to discuss our third quarter fiscal year 2019 earnings results. We’ve posted the earnings materials and prepared remarks to our investor relations events webpage. Speaking on today’s call are Greg Clark, Symantec’s President and CEO; and Nick Noviello, Executive Vice President and CFO. This call will be available for replay via webcast on our website. I'd like to remind everyone that all references to financial metrics are non-GAAP, unless otherwise stated. Please refer to the supplemental tables posted on the Investor Relations website for further definitions of our non-GAAP metrics. Please note, non-GAAP financial measures referenced on this call are reconciled to their comparable GAAP financial measures in the press release and supplemental materials posted on our website. We believe our presentation of non-GAAP financial measures, when taken together with corresponding GAAP financial measures, provides meaningful supplemental information regarding our operating performance for reasons discussed below. Our management team uses those non-GAAP financial measures in assessing our operating results, as well as when planning, forecasting and annualizing future periods. We believe our non-GAAP financial measures also facilitate comparisons of our performance to prior periods and that investors benefit from understanding our non-GAAP financial measures. Non-GAAP financial measures are supplemental and should not be considered a substitute for financial information presented in accordance with GAAP. Today’s call contains forward-looking statements based on conditions as we currently see them. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date and, as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to the cautionary statement in our press release for more information. You will also find a detailed discussion about our risk factors in our filings with the SEC and, in particular, in our Annual Report on Form 10-K for the fiscal year ended March 30, 2018 and on recently filed Quarterly Reports of Form 10-Q. With that, let me now turn the call over to Greg Clark, our CEO. Greg?
Greg Clark: Thank you for joining us, and good afternoon. For the third quarter fiscal 2019, we posted operating results above our guidance. Our top-line results were driven by both our Enterprise Security business, which achieved revenue above guidance, and solid revenue performance from our Consumer Digital Safety business. We achieved total company operating margins of approximately 32%, above our guidance. We generated strong cash flow from operations of $377 million in the third quarter, up substantially year-over-year. In Enterprise Security, we delivered revenue of $616 million, $31 million above the high end of our guidance range. After a difficult first half of the year, we are pleased with a return to revenue growth in Enterprise Security, which grew 3% organically. Our third quarter implied billings of $772 million at an average ratable billings duration of approximately 18 months, represents one of the highest performance quarters for Symantec since the divestiture of Veritas. We are pleased with customer adoption in the quarter and as a result, are guiding our full year fiscal 2019 Enterprise Security revenue higher. Importantly, third quarter duration was in line with our expectations and consistent with the prior year-ago period. Our growth in contract liabilities grew 9% quarter-over-quarter and 23% year-over-year, excluding the impact of the adoption of ASC 606. We continue to build a large installed base of customers, which provides us with opportunities to execute on our cross-sell strategy, and longer-term creates a higher renewal base. We continue to bring to market the world’s most powerful cyber defense technologies. These last few months have been extremely productive in product development. One of the biggest challenges in the security industry is the lack of skilled security professionals to meet the needs of the enterprise. Our customers have heavily benefited from our leading Managed Security Service which provides expert threat hunting across their security estate. We were very pleased to announce this week the release our Managed Endpoint Detection and Response Service, or MEDR, which allows us to attach a focused threat hunting service to our large installed base of endpoint security customers. This expands our value substantially to our installed base, especially in light of the skill shortage in the industry. Symantec is one of the few organizations that can deliver this kind of assistance on a global basis. This week we also announced several pioneering enhancements to our endpoint security offering, including the ability to isolate individual files and applications and place controls around them to mitigate even unknown attacks. This technology, developed internally, allows our customers to adopt the most aggressive defense posture on the endpoint. We have also announced our Threat Defense for Active Directory, which addresses the number one mechanism that attackers use to move laterally and expand their reach inside an enterprise. This product is based upon a technology that comes from our acquisition of Javelin Networks in early November. We are pleased with the speed with which our organization has delivered this value to our large installed base. These new solutions show the ability of our teams to organically innovate, as well as rapidly integrate technologies from acquisitions. Gartner already recognizes Symantec in the leader’s quadrant of their 2018 Magic Quadrant for Endpoint Protection Platforms where our solution scored the highest among all other vendors based on our completeness of vision and ability to execute. We believe these pioneering enhancements to our endpoint offering further distance us from our competitors and strengthen our business case at the customer. The strength of our Integrated Cyber Defense Platform continues to be recognized by our customers and the industry. In November, Forrester named Symantec a leader and a “juggernaught” in Zero Trust. For those unfamiliar with the term, Symantec believes that in the long-term, our customers will operate on third party-controlled infrastructure, but still retain responsibility for their users and the associated data that they are entrusted with. We are focused on bringing innovative solutions to this rapidly changing risk profile driven by massive cloud adoption underway across the globe. At Symantec, it has long been our mission to deliver security for a perimeterless world. From our firstmover acquisition of Elastica in the CASB space and of Fireglass in the Web Isolation space, we have built an integrated platform that allows customers to implement a security architecture that protects against even the most sophisticated threats in the cloud generation. For customers, implementing a “perimeter-less” architecture, or “Zero Trust,” means selecting vendors that provide superior protection and cross-product integration. Our Integrated Cyber Defense Platform offers this, as well as what we believe is a lower overall cost of ownership versus the alternative of self-integrating multi-vendor technologies. Turning to our customer wins in the third quarter. We are excited about the number of different verticals that are adopting our platform at scale and in different geographies, and we view this as a major indicator of the potential for our Integrated Cyber Defense Platform across the globe. In the third quarter, a European household appliance manufacturing company signed an eight figure deal, as they adopted a substantial footprint of our Integrated Cyber Defense solution set. This is a great example of how CIOs are recognizing not only the breadth of our Integrated Cyber Defense Platform, but also its superior protection and cross-product integration. In Asia Pacific, a major securities and derivatives trading exchange that was a SEP customer, expanded their Symantec footprint and adopted our cloud security stack, which includes CASB, cloud proxy, DLP, Web Isolation and Cloud Malware Analysis. This customer chose Symantec to help them securely move to the cloud because of the strength of our integration between our endpoint technology and our powerful cloud security portfolio. A global Fortune 500 power company, which already had a SEP installed base was looking to build an internal SOC and faced a limited talent pool. In a seven figure win against two large managed service providers, the customer purchased Advanced Threat Protection, SEP Mobile, Managed Security Services, DeepSight, Cyber Security Services and Managed Endpoint Detection and Response Service. The customer realized that our Integrated Cyber Defense Platform could improve operational efficiencies resulting in a faster ROI, as well as reduce its SOC staffing requirements. We are also seeing customers of all sizes being able to deploy our technogy at a rapid pace, and positively resetting their expectations of “time-to-value” for security products. To give one example, a regional hospital in the Northern Europe purchased 4,000 licenses of our SEP and EDR endpoint technologies in late December. This purchase was the first phase of rollout that would replace a competitive endpoint product which was about to reach the end of its license period in March. The hospital had cautiously planned to renew their existing solution for an additional year to create overlap and cover the possibility of a lengthy rollout. In January, three weeks after their Symantec purchase, all 4,000 seats of our endpoint protection had been deployed, significantly ahead of schedule. As a result, this customer is in the process of procuring and deploying an additional 10,000 seats and they expect to avoid the planned license cost of the one year of overlap with our competitor. Let me now turn to our Consumer Digital Safety business. We are pleased with the third quarter outcome for Consumer Digital Safety, which was in line with our guidance. The third quarter marked the first anniversary of the Cyber Safety subscribers we acquired in connection with the 2017 Equifax breach and we are pleased that we grew revenue against this difficult period compare. The core tenants of our Cyber Safety platform include identity protection, malware protection, privacy as well as home and family safety. We extended our platform with the launch of Norton Privacy Manager, which is a relevant topic in recent times and we believe a defining element in the minds of consumers. In the third quarter, we announced a strategic parternship with AON, which we view as validation of our longer-term strategy to drive consumer adoption through business-to-business-to-consumer relationships. AON offers solutions to help high-net worth individuals to defend their assets against cyber criminals. Our offering to AON customers will include features across our Consumer Digital Safety platform. Cyber Safety is synergistic with many brands globally, such as insurers, banks, telecom providers and other member organizations that are anchored in trust. As we expand Cyber Safety internationally and to address a growing array of vertical needs, we believe partnerships such as AON will expand the value we bring customers and the revenue potential for our consumer business. Turning back to the company performance in the third quarter, we are pleased with the results. Before I turn it over to Nick, I want to take a moment to recognize his leadership and many contributions to our company. As we announced in our press release earlier today, Nick will be stepping down from his role as CFO in the coming months to pursue other opportunities. It has been a great privilege to work alongside Nick, first at Blue Coat and now at Symantec, where he has played an important role in successfully transforming our company: through the integration of both Blue Coat and LifeLock; the substantial improvements we’ve made in our business systems and processes; and in helping me and the executive team set the stage for Symantec’s next chapter of growth and shareholder value creation. Nick and I have worked closely for over three years, and I’m grateful to have had such a committed, focused and talented partner. On behalf of the entire Symantec team, I thank Nick and wish him all the best in the next chapter of his professional life. We are initiating a search process to identify a new CFO. While we are working expeditiously to conduct the search, we are committed to taking the time we need to find the best candidate for the role. We are grateful that Nick is staying on board throughout the search process to help identify a strong successor and will remain with the Company until mid-2019 to ensure a seamless and orderly transition. In addition, today we announced the appointment of Matt Brown as Chief Accounting Officer, effective immediately. Matt has served as Symantec’s Vice President and Corporate Controller since 2016 and is a valued member of our finance organization. With that, I’ll turn the call over to Nick for the financial details.
Nick Noviello: Thank you, Greg, and good afternoon everyone. Before I jump into our results and guidance, I want to thank Greg and everyone at Symantec for the opportunity to be a part of this remarkable journey. As Greg noted, I will remain in this role until a successor has been appointed, and I will work closely with him or her to ensure a smooth transition with the goal of this being seamless for all of you on the phone, as well as for our internal Symantec team. In the meantime, I look forward to continuing to work with Greg and the executive team, as well as the strong team supporting me in the finance and operations organization, to support Symantec’s execution on our strategic growth, transformation and profitability initiatives, and driving shareholder value. Now, moving on to our results. All references to financial metrics are non-GAAP, unless otherwise stated. Please note we’ve posted information on our financial metrics, other tables and reconciliations of GAAP to non-GAAP measures, as well as currency impacts to our financial results, in our supplemental materials to our investor relations website. Starting in the first quarter of fiscal year 2019, Symantec adopted the new revenue recognition accounting standard, ASC 606, under the modified retrospective transition method. Due to this adoption method we did not recast any historical financial information prior to fiscal year 2019. However, to help investors understand our performance relative to historical results, in fiscal year 2019 we are also providing select results as calculated under ASC 605 in our supplemental materials to our investor relations website. As a reminder, the first three quarters of fiscal year 2018 included results from our website security and related PKI products that we divested on October 31, 2017. For comparative purposes, we report organic growth rates which we define as growth adjusted for acquisitions and divestitures. Now, Q3 results. Total company revenue was above our guidance range, with year-over-year organic revenue growth in constant currency of 3%. The upside was due to outperformance in Enterprise Security. At the end of the third quarter, contract liabilities of $2.928 billion were up 7% year-over-year. This ending contract liabilities balance and year-over-year growth rate was negatively impacted by $192 million due to the impact of ASC 606. Operating margin for the third quarter was 32%, above our guidance of 30%, driven primarily by the overachievement in Enterprise Security revenue. Our effective tax rate for Q3 was 19.3%, in line with our guidance. Fully diluted earnings per share was $0.44, above our guidance. We did not repurchase any shares during the quarter. We generated cash flow from operating activities in Q3 of $377 million versus $294 million in the year ago period, and Q3 CapEx was $58 million. While total company cash flow from operating activities was up 28% year-over-year, cash flow from continuing operations was up 45%. We ended Q3 with approximately $2.6 billion in cash and short-term investments, with $2.2 billion held in the U.S. Now let’s discuss our Q3 operating segment performance. First, Enterprise Security. Our Enterprise Security revenue was $616 million, and reflected organic growth of 3% year-over-year in constant currency. Revenue was $31 million above the high end of our guidance range due to a higher mix of sales yielding up-front revenue than we had built into our guidance. Enterprise Security contract liabilities were $1.889 billion, up 11% year-over-year. This ending contract liabilities balance and year-over-year growth rate was negatively impacted by $210 million due to the impact of ASC 606. Enterprise Security contract liabilities were up 9% compared to the prior quarter. Our Q3 Enterprise Security implied billings were $772 million, down 4% year-over-year adjusted for the WSS/PKI divestiture, and generally in line with our expectations built into our revenue guidance. In our Enterprise Security segment in the third quarter, approximately 76% of our revenue was ratable under ASC 606, as compared to 81% in the second quarter of fiscal year 2019 and 82% in the first quarter of fiscal year 2019. This decrease was due to a higher mix of sales yielding up-front revenue in the quarter. As we stated on our earnings call in May, we are disclosing contract duration for our ratable business in Enterprise Security on a quarterly basis through fiscal year 2019. Please note this is an ASC 605 metric that we will not be reporting after this fiscal year. Contract duration for our ratable business in Q3 was approximately 18 months. This compares to just under 17 months in Q2 and just under 18 months in the year ago period. With respect to our performance obligations as of the end of Q3, consistent with Q1 and Q2, we project approximately 65% of our total Enterprise Security performance obligations will be recognized as revenue within 12 months, approximately 89% within 24 months and approximately 98% within 36 months. Enterprise Security operating margins were 16% under ASC 606, as compared to 23% in the year-ago period under ASC 605. The website security and related PKI products divestiture contributed to the year-over-year decline. Turning to Consumer Digital Safety and our quarterly Digital Safety metrics. Consumer Digital Safety segment revenue of $602 million, was in-line with our guidance, and reflected organic growth of 2% year-over-year in constant currency. In the third quarter, our average direct customer count was $20.4 million, down slightly from Q2. Direct ARPU increased to $8.84 per month, up slightly from Q2. We expect these direct customer statistics to represent approximately 90% of our revenue stream at any point in time. Finally, Consumer Digital Safety operating margin was 49%, compared to 53% in the prior-year period. Our operating margin was consistent with what we saw in Q2. Turning to our guidance, under ASC 606. Our guidance reflects our current view of the business. Our organic growth rates are adjusted for the website security and related PKI products divestiture. Based on Q3 ending FX rates, we are not forecasting a significant impact from FX on our revenue and operating income for the rest of the year. For Q4, we are forecasting a Q4 fiscal year 2019 revenue range of $1.19 billion to $1.22 billion, comprised of $595 million to $615 million in Enterprise Security and $595 million to $605 million in Consumer Digital Safely. At the mid-point, our guidance, on an organic basis and in constant currency, implies approximately flat revenue growth for the total company. We are forecasting operating margin in Q4 to be approximately 30%. We expect our effective tax rate in Q4 to be approximately 19.3% and our guidance assumes a fully diluted share count of approximately $656 million. Our Q4 fiscal year 2019, EPS is forecasted to be in the range of $0.37 to $0.41. Now to our Fiscal Year 2019 guidance. We are adjusting guidance for the full year fiscal 2019 to reflect our outperformance in Enterprise in the third quarter. We are forecasting fiscal year 2019 revenue in the range of $4.76 to $4.79 billion, consisting of $2.36 to $2.38 billion in Enterprise Security and $2.40 to $2.41 billion in Consumer Digital Safety. At the midpoint, on an organic basis and in constant currency, our guidance suggests a growth of 1.5% in revenue for the total company, relatively flat revenue for Enterprise Security, and 3% growth for Consumer Digital Safety. We are forecasting operating margin in fiscal year 2019 to be approximately 30%. We expect our effective tax rate in fiscal year 2019 to be approximately 19.3% and our guidance assumes a fully diluted share count of approximately $660 million. We are forecasting EPS for fiscal year 2019 in the range of $1.57 to $1.61. We are forecasting cash flow from operations for fiscal year 2019 to be in the range of $1.25 to $1.35 billion as compared to total cash flows from operations of $950 million in fiscal year 2018. Turning now to our fiscal year 2020 outlook. Consistent with prior quarters, we are providing our growth outlook for fiscal year 2020. On our next earnings call, we will provide specific fiscal 2020 financial guidance. While our perspective on the growth potential for each of our business segments is unchanged, we are adjusting our revenue growth outlook at this time simply to reflect the increase in our fiscal 2019 revenue forecast as reported this quarter. We expect that total company organic revenue will grow in the mid-single digits year-over-year in fiscal year 2020. We expect Enterprise Security segment organic revenue will grow in the mid-to-high single digits year-over-year. Our expectations continue to be built on a combination of factors, including, one, the roll-off from existing contract liabilities, which have grown substantially year-over-year. Two, our expectations for performance in the fourth quarter and three, the growth we expect in fiscal year 2020. Our expectations for Consumer Digital Safety, organic revenue growth are unchanged at low-to-mid single digits year-over-year. Our fiscal year 2020 outlook for total company operating margins is in the mid-30. This operating margin outlook reflects continued revenue growth in both our Enterprise Security and Consumer Digital Safety segments, as well as a set of cost reduction actions we announced in August. With operating margins in the mid-30, we expect EPS growth in the low double digits, and cash flow from operations growth at or above net income growth as we largely work through our restructuring, transition and transformation efforts in fiscal year 2019. As noted in our Q3 income statement, we incurred year-to-date costs of $205 million related to restructuring, transition and other costs. These initiatives are largely coming to a close in fiscal year 2019, which will have a positive impact on cash flow in fiscal 2020. Now turning to capital allocation, we completed a review with our Board of Directors and plan to restart our capital allocation program in Q4. Consistent with our capital allocation strategy we will take a balanced approach, including share repurchase, debt repayment, and flexibility to pursue strategic options, including M&A. Regarding share repurchase, we have increased our repurchase authorization by $500 million to $1.3 billion, giving us additional flexibility to deploy the excess capital on our balance sheet and future cash flow. We expect to start repurchases in Q4, and will update shareholders on the amount of equity repurchased on a quarterly basis. Regarding debt repayment, we plan in Q4 to prepay our $600 million term loan due August 2019. This prepayment is consistent with our de-leveraging plan, pursuant to which we will have repaid $3.8 billion of debt in fiscal year 2018 and fiscal year 2019 and reduced total debt from $8.3 billion at Q4 of fiscal year 2017 to $4.5 billion. Finally, we expect to continue to pursue acquisition opportunities and to continue our regular quarterly dividend of $0.75 per share. Let me now turn the call back over to Greg for some closing remarks.
Greg Clark: Thank you Nick. As Nick discussed, we are pleased with the third quarter and look forward to delivering on our fourth quarter guidance. After a difficult first half in FY19, regaining momentum in the business is our core focus. As we raised revenue guidance in fiscal year 2019 to reflect our outperformance in Enterprise Security in the third quarter, this resulted in a higher revenue comparison, which affects the period compare in fiscal year 2020. Our comments on FY2020 outlook is based on the change in period compare from our increased FY 2019 outlook. I would note that we are closely watching to widely reported concerns on potential softening of global economic growth as a material amount of our business is from outside the U.S. With that said it is important to note that we're still seeing a healthy pipeline in our Enterprise Security business and over the long term we believe that the cyber defense market has tailwinds for our business. The third quarter marks another quarter of installed basis expansion, which benefits future renewals. Finally, we have increased our shareholder purchase authorization, which is a signal of our confidence in our ability to continue to drive strong operating cash flow and growth. Thank you very much for your time. Nick and I would be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question is from the line of Saket Kalia from Barclays Bank.
Saket Kalia: Hi, guys. Thanks for taking my questions here. Nick, great working with you. I wish you best of luck in the future.
Nick Noviello: Thank you.
Saket Kalia: Greg, maybe just to start with you, obviously, a nice bump up in enterprise billings here seasonally and I think you've talked about – you've touched on this in your closing remarks. But can you just pick a little deeper into how the pipeline looks going into the March quarter? And how you feel about things like sales capacity and other sales metric whether that's churn or competitive win rates, for example, just a little deeper in terms of how you're feeling about that setup going into Q4?
Greg Clark: Thanks. Saket, thanks for the question. I think as we have reported and we saw in FY 2018 seasonally the two big quarters for Symantec are the third quarter and the fourth quarter and we're just entering our fourth quarter. So well we do usually have a strong book of business in the back half of the year. And as you can see from our guidance, we're planning on delivering another substantial quarter, fourth quarter. So our pipeline is good. We do also believe that we have the sales capacity in place even though we had a difficult first half. We feel like the sales capacity we have rolling into our fourth quarter is sufficient. In terms of demand, demand cyber defense continues to be a board level and C-level topic across the globe. And I think there is plenty of opportunity for us to be able to, as I said in the prepared remarks, have the long-term deliver some good results for the business, so fourth quarter sales capacity good pipeline where it needs to be.
Saket Kalia: Got it. That's really helpful, maybe just to follow up for you Greg. I think we saw the upfront business obviously can ebb and flow from quarter-to-quarter in the enterprise business specifically. I guess the question is how do you think about that upfront mix as a percentage of enterprise revenues sort of broad brushes long-term?
Greg Clark: Yes, so I think we definitely stand behind our comments that we've made in prior conference calls about the shift to cloud. And we do believe that that's going to continue. And so we think that the size of the business is quite large and small movements in mix for certain things is definitely not future based. But we stand behind our prior statements about how we think about that going forward. It is nice to see some of our large installed base of appliances being procured, broad based, which across the globe because that’s still there and there’s still a capacity need that happens in there. But we definitely think that going forward our comments on mix are still solid.
Nick Noviello: Yeah, Saket, it’s Nick. You can actually see it in our – some of our supplemental materials and the performance obligations information just to see the – just to compare between the upfront revenue and enterprise this quarter versus even last quarter. And that difference really rolls through straight through the results from Q3. Ultimately though, as you know, this is about building those contract liabilities over time and what that does in terms of future revenue and in addition what that means in terms of future installed base to go after and renew, et cetera. So, we're showing you the implications or the impact to the end quarter, but the overall momentum in the business and the overall shift to cloud in the business is very focused is ongoing. And ultimately, those things show up in our contract liabilities and what that revenue growth opportunity looks like over time.
Saket Kalia: Very helpful. Thanks again guys.
Operator: And our next question is from line of Michael Turits from Raymond James.
Michael Turits: Hey, guys. Let me just drill down a little bit more on the shift to upfront. I just want to make sure – it sounds like and I would think it is a function of more appliance take rate. So maybe you can put that in the context of your refresh and how people are choosing appliances versus virtual versus your WSS cloud service.
Greg Clark: So we are still seeing a very strong element of the form factors in the cloud based WSS or Cloud Access Brokers are a big piece what happens. And we do get appliance refreshes also because capacity needs increase there and things wear out. And as you can see in this quarter, we definitely saw some of that. I can say it wasn't one big deal. It's kind of across the geographies and broad based, but again it's a big business and $30 million of mix is not a substantial swing or either way. I wouldn't read too much into it. We do believe that the cloud transformation is ongoing, and we think that as we look at the future that's where our work is and we look forward to talking about that when we guide 2020.
Michael Turits: Hey, guys All right. I just want to make sure, Nick, that I clarify the numbers. I didn't catch them all in terms of the mix impact. So are you saying that the upside to guidance was all from mix? Would you have been in line ex the mix, if you'd been at anticipated mix?
Nick Noviello: Certainly, the amount over the top in the $30 million plus range was due to that Enterprise mix and you can see that on the revenue line and the operating margins and straight down to the bottom line.
Michael Turits: Great. Thanks very much.
Operator: And our next question is from the line of Gabriela Borges from Goldman Sachs.
Gabriela Borges: Great. Good afternoon. Thanks for taking my question. Greg, you made a comment in the prepared remarks about productivity and innovation and they are indeed part of your business. It sounds like maybe you're competing with a stronger or a broader set of products. The question is, it's not having implications on pricing in the competitive environment, meaning can you maybe extract a little more pricing power than what you may be able to do a year or two ago? Thanks.
Greg Clark: I think what's benefiting us at the procurement table is the fact that we are bringing a bunch more products to the table, which allows us to have more flexibility on pricing. So depending upon the competitive mix, it gives us a lot of different choices, but I definitely think over time people will value the fact that they don't have to integrate the pieces and they get them from us, which should allow us to command a little bit more price and perhaps a more commoditized element of the bill of materials. So we think that we have aspirations for that to be a supporter of ASP as we go forward, because we believe over time people will value that integration and pay for it.
Gabriela Borges: That's helpful. Thank you. And the follow-up is, Nick, if I may could you level set us on where we are with some of the cost initiatives that you've targeted in the back half of the fiscal year. I think, you talked about $115 million potential savings and are there still more block and tackle efforts that you can approach after that or are we pretty much coming towards the tail end of optimizing the business profile? Thank you.
Nick Noviello: Sure. Thanks for the question, Gabriela. And, I think, if you look back over the last couple of years, we've talked about cost opportunities and integration opportunities and taking costs out of the business which we've very successfully done over time. So as we have moved through this fiscal year and as we pivot to 2020 and as we pivot to our operating plans in 2020, those cost actions and those opportunities are going to be in or reflected in the numbers that we give you. So the pace of those things can always change one way or the other. The amount of severance, if you will, in one quarter versus another or transition costs one quarter versus another can move around, but we are on track to our commitments and what we intend to do. I think – from the original comments of mostly done inside this fiscal year, that may move a little bit into 2020 and have a little bit of cash implication and if FY 2020, but if you kind of look back at the prepared remarks from earlier, we have a substantial takedown of cash costs in general in restructuring, transition, transformation type costs as we go from 2019 to 2020.
Unidentified Analyst: Thank you.
Operator: And our next question is from the line of Fatima Boolani from UBS.
Fatima Boolani: Good afternoon. Thank you for taking the question. Greg, maybe a question for you. Just in the context of the strength in the Enterprise Security business, I was hoping you could make a comment on some of those leadership changes that you’ve brought into the organization more recently, and sort of how that is factoring into your expectations as you head into a seasonally stronger execution period for the company. And then I have a follow-up for Nick as well.
Greg Clark: So, I think, yes, we announced last quarter, I can’t remember exactly what the date was – a restructuring in our enterprise to separate the product from selling and Art Gilliland coming on board to look after our product pieces, and Mark Andrews, he already taken control over the worldwide sales organization. I think, this is definitely helping us as we go forward. We have very focused and concentrated energy on the product side and also on the field side. So I think that transformation is going well for us. And I think as we sit here reporting on that period, I think, we had a good outcome. And so we feel like that organizational change is going well.
Fatima Boolani: Great and, Nick, a question for you, just on the consumer business specifically and the guidance there, may be a little bit lighter than what we were looking for. So just wanted to understand some of the puts and takes on the consumer segment guidance as we close out the year, and that’s it for me. Thank you.
Nick Noviello: Sure. Yes. So, thanks for the question, Fatima. And I think, first of all let me talk about consumer in the overall in the year. And you heard about our view of 3% organic growth for consumer. We are basically on the plan and we feel very good about what’s going on in the consumer segment. You can see that in our kind of discussions on subscribers, on ARPU, et cetera. So we feel quite good about that. There’s always going be a movement a bit, quarter-to-quarter. We’re coming off a compare on the Equifax side. And we’ve built all of that into our results here, but our organic initiatives, the cross-sell and the retention work that’s gone on in consumer, we feel very, very good about and those operational teams deserve praise for the amount of work they’ve done.
Fatima Boolani: Very clear. Thank you.
Operator: And our next question is from the line of Brad Zelnick from Credit Suisse.
Brad Zelnick: Excellent. Thanks very much, guys. It’s great to see the progress this quarter, and Nick, congrats to you it’s been a pleasure working with you over the years.
Nick Noviello: Thank you.
Brad Zelnick: You’re welcome. And Greg, I’ve got one for you and a follow-up for Nick. Greg, many have been speculating about your appetite for acquisitions, particularly large deals, and especially now that we’re past the audit committee review, should we see the addition to your buyback authorization signaling less of an interest or am I misreading this?
Greg Clark: No, I think Nick’s prepared remarks covered, I’d say the tenants of our capital allocation, which concluded I think some supporting statements about maintaining some capacity for M&A.
Brad Zelnick: Okay. And Nick, as we look at your year-to-date implied Enterprise billings adjusting for the divestiture of WSS and PKI, your year-to-date, I know it was a tough start to the year, but you’re down 8% year-to-date, down 3.5% this quarter. And I’m just having a tough time seeing how you get to mid-to-high single-digit revenue growth in Enterprise next year. And I guess you can – there’s more upfront business like you get like we saw this quarter. But how should we think about bridging to that kind of revenue growth. And in your prepared remarks, you talked about the business picking up in Q4 and into next year that helps to get you there, but what’s the kind of billings growth that you would need to drive that revenue result?
Nick Noviello: It’s a good question, Brad. So let me kind of walk you through it. And I think the first part that’s really important here is understanding. This is made up of multiple components. First component is the roll-off of existing contract liabilities, and you’ve seen and we’ve disclosed in our supplemental materials, how those contract liabilities are growing and certainly how they grew in the third quarter, very similar to some of the heavy growth we had in last year. And as Greg’s comments on duration and you see it in our recognition charts on when this is all coming in, this is tight inside periods of time and consistent in terms of the roll-off of contract liabilities. So we feel good about that. So you have to take number one that. Number two, what’s our expectations for the fourth quarter and Greg talked about it and I gave you the specific numbers on that. There is an in-period recognition to that, and then there is a radical amount and there is a recognition in further periods. And we look at that go-forward recognition, probably not that different from prior recognition. And then the final element is our billings growth expectation and our mix expectation for FY 2020. So we’ll talk more about that on our next call, but it’s those elements and the stacking element on the contract liability side that has amortization to it that underpins and gives us strong evidence to how we think this business will grow. Remember this all started back at the beginning of FY 2018 with a business and a set of products and a sales force that came together under a new way of how we were going to sell. So when you see that, that machine that really got built over a year ago, has been adding to these contract liability balances that will yield benefit for us next year.
Brad Zelnick: Really appreciate it. Thank you.
Operator: And our next question is the line of Karl Keirstead from Deutsche Bank.
Karl Keirstead: Thank you. Greg, maybe one for you. If we could go back to the appliance strengths that you saw, this is the second quarter in a row that that’s happened. And I’m just wanted to understand why you think that’s happening, is this just a fluke of a few large deals, is there any kind of demand issue that’s causing the upfront appliance strength to be a little bit better than you were expecting. And then, maybe I’ll ask my follow up to Nick now as well. Nick, on the operating cash flow side, $377 million is the highest operating cash flow in some time, and it looks like the 4Q cash flow guide is pretty strong too. So I’m just wondering if you could take a minute to discuss maybe what a couple of the drivers of that strength are and in particular, whether this upfront appliance strength you mentioned it drops to the operating margin. Could that have been a contributor to the cash flow as well? Thank you.
Greg Clark: Yes, so to take your question on appliances first, so we don’t have any single large deals with either appliance related in these results. This is more broad based cross geography. And I think it does speak to the fact that there is some capacity growth. We are in a hybrid world. There are still on-premise networks and things like that around our capacity needs growing there. And we still stand behind our transition to cloud statements. We’re seeing a very good situation where incremental capacity, roaming user capacity is being purchased through our cloud proxies and through our Cloud Access Brokers, which only come in a pure cloud form factor. There isn’t any on-premise co-related things like our Cloud Access brokers in these things. So more broad-based, I think, it is that – we are in a hybrid situation in the world where there is still a substantial clip of information and computing done on-premise, and we do see some appliances there. We are not seeing that across the Board. I think we look forward to talking to you more about that as we dig into the 2020 guidance, but I think it’s a good guy for our appliance business. Definitely not a sea change for how we think things are going to go on cloud.
Nick Noviello: Hey, Karl. Let me just give you a couple of comments on the cash flow side [indiscernible] (47:08) and certainly the over edge on enterprise sort of rolls through, but I think the other thing that’s important to understand is that, we have indicated that our restructuring transformation or transition in other costs will be coming down over time, and that’s obviously a benefit to cash flow. If you look at those costs on just P&L basis for this quarter versus a year-ago quarter, they’re lower. Obviously, there’s a translation to cash that needs to occur, but we also – when we look at cash and cash flow opportunities go forward into fiscal year 2020, we benefit obviously from net income growth and some of the numbers we’ve talked about there in the high level guidance, we’ve given an outlook for 2020 there. But in addition, I think you need to look at that restructuring transition and other costs line. And year-to-date, this year that’s $205 million in expense and that’s an area that as we bring these projects to close, that’s a benefit to cash flow.
Karl Keirstead: Okay. Very helpful. Thank you both.
Operator: And our next question is one line of Keith Weiss from Morgan Stanley.
Keith Weiss: Excellent. Thank you guys for taking the question. Two for you Greg. One, just in terms of the competitive environment. We’ve seen better sort of appliance strengths. There’s been something sort of more so on the Blue Coat side of the business. Can you talk about sort of the competitive environment you are seeing out there and how well you’re doing in competition against some of the newer vendors in the space. So you’ve seen a lot of momentum guys like Zscaler whether your kind of hybrid cloud offering has been effective against those. And then, one on the consumer side of equation – it sounds like you guys are still pretty confident and sort of durable growth in that business, but we have seen several quarters in a row of the – like the subscriber count coming down, and I think you’re down like 5% on the year-on-year basis. What gives you guys confidence, like, it’s part of the equation that that’s going to stabilize over time and what gives you confidence that, that stabilizing gives you guys sort of that good foundation for growth on a going forward basis?
Gregory Clark: Yes, let me take the consumer question first, and then I’ll come back to the competitive nature in Enterprise. So we are very focused on bringing back net new member growth to the consumer business. That is something that we really care about and we continue to, I think, narrow the gap there. I think we’ve got some good results there. I think it’s difficult period compares right now, because as Nick mentioned before, this is the period that’s comparing back into the huge Equifax, I would say, identity protection procurement period, which is very high ARPU procurement. We had some great results in that period a year ago. So I think we are very pleased that we managed to deliver a good quarter there, and now the business is on plan for the full year. But definitely – our management team and consumer is definitely focused on net new member growth and turning that curve and we measure that very carefully in our management reviews and that’s what a lot of our initiatives are at. I think the deal that we talked about in our prepared remarks around Aon are examples of new routes that can also help address that. And we do have better retention in the business, which is also, I think, part of the business case that when we sell our cyber safety platform, we lose less customers at the hardware refresh on the malware side of things. And they’re much easier to reacquire on the other side of a new PC. So I think all those premises that are behind our strategy and consumer are still there, and we like the long-term outlook for the business. I think we’re innovating there. We launched our Norton privacy manager, which is a very important topic for the world right now, which is just come into market and so we’re – I think we have a good premise for net new member growth and thanks for asking that question, that’s something that is right in the heart of our KPIs. So, moving to competitiveness in enterprise. We are pleased with how pure cloud web proxy business and the integrated cyber defense elements of that which is when we sell a cloud property, which competes with some competitors. We also have a strong attach with the Cloud Access broker and we have a strong attach of our very deep data protection technologies in that area. So, our ability to compete there is strong. I think, we are doing very well in that space and the future is bright for the WSS, CASB, and data compliance and cloud application story. We’re the only vendor that brings all of those technologies to bear integrated and as a global service. And I think, we’re winning some fantastic accounts there. In the on-premise side, our appliance business is still there and it’s still happening as you can see from some of the metrics this quarter. And we did – we still maintain a very strong install base there and as that refreshes, we have the opportunity to pick up the rest of that. So that’s really a big part about network adjacencies, and I think we continue to execute well there. As we move to the future and zero trust becomes more important, and as I mentioned our prepared remarks, you’re running on other people’s infrastructure. In many cases, you won’t be able to completely trust it for your data. It will be very solid, very trustworthy companies, but you’re responsible for the data floating across the security over the top on that is the future. That’s what we’re doing with the products I just mentioned and as we integrate our very powerful SEP and SEP Mobile technologies with that, we think we create something that is going to be very hard to beat, and we’re laser focused on that strategy. And I think we’ve proven to the industry that our engineering works and it delivers here, and we intend to really continue to drive the envelope in that area. And I think there are a lot of upstarts, there in point solutions, and I think that those gaps between the point solutions will define the long-term winner and we hope that to be Symantec.
Brad Zelnick: Excellent. That’s very helpful, thanks.
Operator: And our next question this from the line of Shaul Eyal from Oppenheimer.
Shaul Eyal: Thank you. Hi, good afternoon and congrats on the progress on the enterprise front. Greg, I’d like to know, given you guys have a sizable exposure to the European continent, and there has been some conflicting messages with respect to macro demand, what can you tell us about what Symantec has been seeing during the quarter coming out of Europe? Thank you.
Greg Clark: So we don’t break out in our numbers – specific numbers on the geographies, but I can give you some longer-term views and what we’ve seen over the last little while. We have a very substantial amount of our business from overseas and we’ve seen some very strong examples, couple of them, we used in our prepared remarks, the home appliance, vendor and the hospital in Northern Europe. We are still seeing strong demand. I do believe that cyber defense is a non-negotiable across the board rooms of the larger organizations globally, including every major geography of Western Europe, especially after what happened to a couple of companies over there in the 2018 calendar year and 2017 calendar year around some of the malware worms that took out shipping companies and things like that. So, there is definitely a heightened sense of need for cyber defense there, and also the privacy movement is alive and well there, and data privacy and corporations is a big care about. So, we are happy with our outlook in Europe, but we are cautiously watching it, because we’re reading the same headlines and listening to everything else that are generating the comments. And we had a statement on that in our prepared remarks. but right now, for Q4, we’re in good shape in Europe and what we think, as we get to 2020, we’ll have some more – some more thoughts for you.
Shaul Eyal: Thank you for that. And also, Nick congrats. It was a pleasure working with you.
Nick Noviello: Thank you and with you.
Operator: And our next question is from the line of John DiFucci from Jefferies.
John DiFucci: Hi. Thank you. Greg, questions for you. It’s been touched on here. When given the guidance, total – even total revenue mid-single-digits into fiscal 2020. I mean, that’s still acceleration and it’s good to see some of the metrics looking a little better, but they looked a little better two quarters ago too and then last quarter looked as good. I just – I don’t think you’ve done mid-single-digit revenue growth on an organic constant currency basis, and I don’t mean just you and I don’t think Symantec has done it, since they divested Veritas. So, we see in our numbers and maybe we’re off a little bit there, but I don’t think so. So that’s why I become the fourth person to ask a question on this new topic, because it does also sound like we should be seeing some kind of a hardware component here. We get that. That revenue is recognized right upfront. So that’s going to help. But we’ve been waiting for that – for sort of a couple of years and I thought it just sort of passed us by. So, I’m not sure like it, is there like this – these customers that have they need to replace their proxies and the time is now to do it and you’re assuming they’re going to do it, but can’t they just go with other solutions too? And you said you’re ready for the cloud and I think of it. And it could be your solutions, but that would be less revenue and I don’t know, I’m just trying to figure it out, because...
Greg Clark: So, John, I think if you – yes, so good question and I understand that there's a lot of – I would say I want to understand this better in the analyst community and I would just say that we just closed out Q3, we had a 3% organic revenue growth in the Enterprise and we also grew the contract liabilities at the same time. So the revenue growth is now coming at the expense of the build in the forward contract liabilities' database – sorry, a backlog, it's our view. Roll that forward, I think you'll get to the numbers we're at. And then I think the other thing to keep in mind is if you look at the discussion we're having, go back over the customer examples that we've rolled out on many calls over the last few quarters and have a look at the product examples that we're giving in that. There is a lot, lot more for sales here than hardware proxies in our Integrated Cyber Defense story. And then every solution that we talk about, we are talking about a number of products that are in there as adjacencies that are being sold. And I think that as you then close those deals, the beautiful thing about that is that they renew. When their service delivered, they renew and I think that's better for us. It's better from a cost of sales point of view and it's better from a stickiness point of view. I think as we move through what was FY18 and we had a big back half in FY18, did some great billings numbers in 18-month duration. We're doing it again in the back half of 2019, and we plan to do it again in next year. But you will find that, that renewal base gets very strong and that deferred revenue build, as Nick mentioned before, the stacking of that is quite good and we believe that our longer-term outlook being mid-single for the Company is achievable. We are in a transition as we mentioned before, and we're going to be coming out of the other side of that as we look forward, and we think that's where we build that guidance from. And I appreciate the question. And please pay attention to the size of the portfolio that's behind Integrated Cyber Defense and anchoring that growth on purely proxies and hardware proxies is not the case. And we're a big leader in Cloud Access Brokers. Those things have never seen a customer's data center they all run in the cloud as a bunch of products like that are pure cloud here at Symantec, and they're driving a bunch of great adjacencies and growth for us. So I appreciate the question. I think we have done a lot of work behind that answer and that's why we talk about it.
John DiFucci: Okay. Thank you, Greg.
Operator: And at this time, I'd like to pass it back to the presenters for any closing remarks.
Cynthia Hiponia: Great. Thank you everyone for joining us this afternoon and we look forward to updating you on our next call.
Greg Clark: Thank you all very much. Thanks for the questions.
Operator: Ladies and gentlemen, this does conclude today's conference call. We thank you greatly for your participation. You may now disconnect.